Operator: Good morning, and welcome to the Wave Life Sciences First Quarter 2024 Financial Results Conference Call. [Operator Instructions] As a reminder, this call is being recorded and webcast. 
 I will now turn the call over to Kate Rausch, Vice President, Investor Relations and Corporate Affairs. Please go ahead. 
Kate Rausch: Thank you, Kevin. Good morning, and thank you for joining us today to discuss our recent business progress and review our first quarter 2024 financial results. Joining me today with prepared remarks are Dr. Paul Bolno, President and Chief Executive Officer; Kyle Moran, Chief Financial Officer; and Anne-Marie Li-Kwai-Cheung, Chief Development Officer. The press release issued this morning is available on the Investors section of our website, www.wavelifesciences.com. 
 Before we begin, I would like to remind you that discussions during this conference call will include forward-looking statements. These statements are subject to several risks and uncertainties that could cause our actual results to differ materially from those described in these forward-looking statements. The factors that could cause actual results to differ are discussed in the press release issued today and in our SEC filings. We undertake no obligation to update or revise any forward-looking statement for any reason. 
 I'd now like to turn the call over to Paul. 
Paul Bolno: Thanks, Kate. Good morning, and thank you all for joining us on today's call. I will open with comments on our recent progress and continued execution on our strategy. Next, Anne-Marie will provide an update on our 3 ongoing clinical trials. And before opening up the call for questions, Kyle will review our financials. Chandra and Ginnie will also be available for questions. 
 The start of the year has been marked by steady execution for Wave. First, we've continued to advance our 3 ongoing clinical trials towards key data updates. This includes our RestorAATion program, which is underway, evaluating WVE-006, our RNA editing candidate for patients with AATD; our potentially registrational FORWARD-53 clinical trial with WVE-N531 for boys with exon 53 amenable DMD; and SELECT-HD, our trial evaluating WVE-003, a first-in-class, allele-selective investigational therapy for patients with HD. 
 We also continue to advance our INHBE lead clinical candidate for obesity towards CTA filing as early as the end of this year and expect to initiate a clinical trial in the first quarter of next year. Last month, we announced meaningful progress in our research collaboration with GSK as they selected their first 2 programs following achievement of target validation. 
 Before diving deeper into each program, I'll pause to acknowledge an exciting leadership update. As announced this morning, Dr. Erik Ingelsson has joined Wave as Chief Scientific Officer. In this role, he will drive our emerging therapeutic portfolio strategy, including growing our genetics and genomics capability by identifying new, high-impact targets and leveraging our best-in-class multimodal platform to continue to advance novel RNA medicines. 
 Dr. Ingelsson comes to us from GSK, where he most recently held positions of SVP, Head of Target Discovery, and SVP of Genomic Sciences, leading activities across all therapeutic areas. He was responsible for harnessing the latest methods and technologies in genomics to discover and validate novel drug targets and accelerate the development of next-generation medicines. Prior to GSK, he was Professor of Medicine at Stanford University and obtained MD and PhD at Uppsala University. You will have the opportunity to hear directly from Erik in the very near future. 
 Turning to our pipeline in RNA editing. Our RestorAATion-2 clinical trial of WVE-006 for alpha-1 antitrypsin deficiency, or AATD, is now underway and we continue to advance our wholly-owned RNA editing pipeline behind it. WVE-006 is the industry's first-ever clinical RNA editing candidate, which aims to correct AATD causing Z mutation to increase circulating levels of wild-type AAT protein and reduce mutant AAT protein aggregation in the liver. 006 is designed to address the root cause of AATD, to provide a solution to patients with AAT lung disease, liver disease or both. 
 Other treatment approaches are often confined to either lung or liver manifestations, not both. The current standard-of-care treatment weekly IV augmentation therapy is limited to treating only lung disease. siRNA treatments in development are confined at treating only liver disease and could exacerbate lung injury. By targeting RNA, 006 differs from DNA editing technologies that rely on hyperactive exogenously delivered artificial enzymes that can result in irreversible collateral bystander edits and indels. 
 In fact, in preclinical studies, the majority of edits observed using DNA-based editing were bystander edits that yielded isoforms of AAT protein with lower functional activity, while the indels have the potential to create loss-of-function variants. WVE-006 does not use complex delivery systems such as LNPs. 
 006 contains GalNAc conjugate, a highly specific and elegant delivery tool that is well validated with multiple approved silencing therapeutics on the market. GalNAc enables the ease and convenience of subcutaneous dosing, effective and selective delivery to hepatocytes, as well as a high degree of confidence of preclinical to clinical translation since the entire dose is delivered reliably to the target organ. 
 Our proprietary chemistry enables WVE-006 to effectively recruit endogenous ADAR enzymes and achieve potent and durable editing in preclinical studies. We've shown AAT protein levels that exceed the thresholds for both MZ and healthy MM populations, and we confirm the functionality of this protein with the neutrophil elastase  assay. 
 Additionally, we saw decreases of lobular inflammation and reduction of liver aggregates. WVE-006 also prevents increases in mitoses for turnover of hepatocytes, indicating improved hepatocyte survival. As Anne-Marie will speak to momentarily, we recently received approval for our first CTA for RestorAATion-2 and continue to make significant progress in our trial of WVE-006 with proof of mechanism data from RestorAATion-2 in patients with AATD expected later this year. 
 Proof of mechanism for 006 would not only meaningfully derisk our AATD program, but would also serve as proof of concept for a growing pipeline of wholly-owned editing candidates which are designed to either correct or upregulate mRNA in both rare and prevalent diseases. 
 GSK was early to recognize the potential of our differentiated RNA editing capability at our multimodal platform more broadly. Their leadership in respiratory medicine and development and commercialization makes them an ideal partner for 006, and they continue to bring substantial value to Wave through their significant investments in deep genetic insights. 
 The collaboration included $525 million of milestones related to 006, of which we received $20 million in the first quarter due to the advancement into the clinic. Development and commercialization responsibilities transferred to GSK at their sole cost after we complete our RestorAATion-2 study. Wave is also eligible for double-digit tiered royalties as a percentage of net sales of 006 up to the high teens. 
 Additionally, in the discovery part of the collaboration, GSK selected their first 2 programs to advance following achievement of target validation, marking a transition to the next phase of the research collaboration and triggering a $12 million payment to Wave. Both of these programs utilize Wave's next-gen GalNAc-siRNA format and are in hepatology. The discovery component of the collaboration encompasses all of Wave's modalities, including RNA editing, and GSK is eligible to advance up to 8 programs in total during the initial research term. 
 For these 8 collaboration programs, Wave is eligible for total potential milestone payments of up to $2.8 billion as well as royalties on net sales. As a reminder, GSK pays 100% of the cost related to target validation of these partnered programs. 
 The collaboration also expands our wholly-owned pipeline as we are able to leverage GSK's genetically validated targets to advance up to 3 programs for Wave. INHBE was the first target we selected, and we plan to focus our remaining slots on high-impact targets based on strong clinical genetics, novel biology with measurable biomarkers and best in first-in-class potential. 
 Our INHBE program aims to be a next-generation obesity therapeutic. Using GalNAc-siRNA silencing, we aim to recapitulate the protective phenotype of INHBE loss-of-function heterozygous carriers, who have a favorable cardiometabolic profile, including reduced abdominal obesity, reduced odds of type 2 diabetes and coronary artery disease. INHBE mRNA is expressed in the liver with its corresponding receptor on adipocytes, which controls fat storage. Silencing INHBE promotes fat burning or lipolysis and decreases fat accumulation. 
 While GLP-1s have become the standard of care for weight loss, these therapies come with several limitations, namely frequent dosing, loss of muscle mass, poor tolerability and high discontinuation rates. With our INHBE program, we have demonstrated highly potent silencing with an ED50 of less than 1 milligram per kilogram in the diet-induced obesity, or DIO, mouse model. And durable silencing following 1 low single-digit dose, which supports the potential for subcutaneous dosing intervals of every 6 months or annually. 
 We've also demonstrated weight loss and reductions in fat mass with a preferential effect on visceral fat with no loss of muscle mass. The DIO mouse model has been used with many weight loss therapeutics in the market, including semaglutide, and there is a good precedent for weight loss translation into the clinic. 
 As the INHBE mechanism of action is distinct from GLP-1, we also see the opportunity to use INHBE siRNA as a frontline or potentially maintenance therapy following GLP-1 weight loss induction. And we now have emerging preclinical data to further support this use. In an ongoing head-to-head study in DIO mice, we observed that the weight loss effect from a single dose of our INHBE siRNA was similar to semaglutide. 
 In addition, treatment with our INHBE siRNA upon cessation of semaglutide treatment curtailed expected rebound weight gain. We expect to share new preclinical data from our INHBE program later this year. We remain on track to file our CTA as early as the end of the year and to initiate our clinical trial in the first quarter of 2025. We believe clinical proof of concept can be achieved with just a single dose of our INHBE siRNA in a study of healthy overweight volunteers. 
 In DMD and HD, we are on track to deliver clinical data from each of these programs in the coming months. With our potentially registrational FORWARD-53 clinical trial of WVE-N531 in boys with DMD, our goal is to demonstrate that we can restore endogenous functional or Becker-like dystrophin to provide a meaningful clinical benefit for patients amenable to exon 53 skipping. 
 Significant scientific gaps on the functional benefit of micro- and mini-dystrophin remain in addition to an unknown safety risk associated with AAV gene therapies and there is an urgent need to deliver more therapeutic options to patients, especially those which can achieve access to the heart and diaphragm, two areas where we have seen substantial distribution in our preclinical studies, including NHPs. 
 Our clinical data for N531 after only 3 doses every other week, position it as potentially best in class. We've demonstrated industry-leading exon-skipping of 53%, muscle tissue concentrations of 42,000 nanograms per gram, the first clinical demonstration of uptake in myogenic stem cells, and a half-life which supports the potential for monthly dosing. We continue to make strong progress in our trial and remain on track to deliver 24-week dystrophin protein expression data in the third quarter this year. 
 In HD, we continue to advance our first-in-class allele-selective therapeutic, WVE-003. In this space of extremely high unmet need as HD patients have no disease-modifying treatments available, there are approximately 30,000 patients in the U.S. with HD and over 200,000 at risk of developing HD. 003 is designed to reduce mutant huntingtin protein while also sparing healthy wild-type huntingtin protein, which is critical to the health and function of neurons. Having the ability to preserve this important protein is a clear advantage over PAM-silencing approaches that non-selectively lower mutant and wild-type proteins, especially as HD patients already start with a lower wild-type reserve. 
 We have already demonstrated successful translation of our compelling preclinical data to the clinic with reduction of mutant huntingtin and preservation of wild type after a single dose in humans, and we are looking to replicate these biomarker data with the first multi-dose data from our SELECT-HD clinical trial in the second quarter. In addition, we will be looking closely to see if we can differentiate on safety signals seen by the PAM-silencing approaches, including ventricular enlargement. 
 Now to discuss the progress we've made on our clinical programs in more detail, I'd like to turn the call over to Anne-Marie. Anne-Marie? 
Anne-Marie Li-Kwai-Cheung: Thank you, Paul. With our continued execution across modalities and multiple data sets planned for the months ahead, it's certainly an exciting time to be at Wave. 
 I'll start by covering the progress we've made in RNA editing, where we are advancing our GalNAc-conjugated AIMer, WVE-006, in our ongoing RestorAATion clinical program for AATD. As a reminder, our clinical program is comprised of RestorAATion-1, which is a dose-escalation study in healthy volunteers; and RestorAATion-2, which is a Phase Ib/IIa open-label study designed to evaluate the safety, tolerability, pharmacodynamics and pharmacokinetics of WVE-006 in individuals with AATD who have the homozygous Pi*ZZ mutation. 
 We have rapidly progressed dose escalation in the RestorAATion-1 trial of healthy volunteers. And consistent with our last update, we've observed safety and pharmacokinetic data translating as expected for a GalNAc-conjugated molecule. Just last week, we were pleased to announce that our first CTA for RestorAATion-2 has been approved, and we expect additional approvals to follow. Using the data from healthy volunteers, we identified a starting dose level for RestorAATion-2 that's expected to engage target based on preclinical data. 
 RestorAATion-2 is now underway and includes both single ascending dose and multiple ascending dose portions. And we have the ability to make adjustments with the dose level and frequency as the trial progresses and data emerges. We will be taking multiple assessments of serum M-AAT throughout the 3 dose cohorts, enabling us to quickly detect the potential presence of wild-type healthy M-AAT protein in the serum, which would indicate that WVE-006 is successfully editing RNA and represent the achievement of proof of mechanism. 
 We are currently initiating clinical trial sites and remain on track to deliver proof of mechanism data from RestorAATion-2 in patients with AATD this year, which will be an important step as we work towards completing the study and defining future dose and regimen. 
 Turning to DMD. Dosing continues in our fully enrolled, open-label FORWARD-53 trial for boys with exon 53 amenable DMD. This Phase II study is evaluating doses of WVE-N531 administered every other week, with the primary endpoint of endogenous dystrophin expression which will be evaluated after 24 and 48 weeks of treatment. The trial will also evaluate digital and functional endpoints, pharmacokinetics as well as safety and tolerability. 
 For dystrophin protein, we are looking for greater than 5% which exceeds the level of standard of care, which is approximately 1% to 5% with approved weekly exon-skipping therapeutics. We know KOLs are very focused on functional dystrophin restoration. Also, extended dosing intervals beyond the current weekly infusions would be very meaningful to patients and families. And ultimately, we think monthly dosing could be an option with N531. 
 Our compelling preclinical data supports our excitement for this program and its potential to be transformative for patients. Specifically in Part A of our clinical trial, WVE-N531 demonstrated industry-leading mean 53% exon skipping, which was driven by muscle tissue concentrations of 42 micrograms per gram, which is far above what other exon-skipping companies have reported. 
 We're also excited by the clinical evidence of myogenic stem cell or satellite cell uptake of WVE-N531. This is particularly notable as myogenic stem cells are the progenitor cells for new myoblast, and we're not aware of any other clinical data for exon skippers or gene therapies that have been able to demonstrate myogenic stem cell uptake. 
 Our preclinical data indicates that WVE-N531 concentrations in the heart and diaphragm exceeds that of skeletal muscle, which could speak to the promise of addressing what remains a huge unmet need in DMD, impacting respiratory and cardiac involvement. In our FORWARD-53 study, we are monitoring cardiac and respiratory markers. However, boys in our programs are early in the disease course and, as such, have normal baseline parameters. This is something we plan to explore in future studies. 
 We look forward to the opportunity to build on this compelling data set as we plan to deliver potentially registrational 24-week dystrophin expression data in the third quarter. If positive, these data would support our plans to file for accelerated approval in the U.S. and would accelerate our clinical development plans to build a multi-exon DMD franchise beyond exon 53. As you may recall, we've generated data on compounds that would together address up to 40% of the DMD population, all of which utilize our PN chemistry and have demonstrated high levels of skipping and protein restoration in, in vitro studies. 
 Now moving to Huntington's disease, or HD, where we continue to advance WVE-003 in our SELECT-HD study. WVE-003 is our first-in-class allele-selective for HD designed to reduce toxic mutant huntingtin protein while preserving the healthy wild-type huntingtin protein. Preservation of healthy wild-type protein is increasingly becoming an area of focus due to its critical role in neuronal function. 
 New preclinical data in adult mice continue to demonstrate the need for a cautious approach in PAM-silencing studies as complete loss of huntingtin in mice has been associated with progressive subcortical calcification and neurodegeneration. In the multi-dose portion of our ongoing SELECT-HD studies, patients have been receiving WVE-003 or placebo every 8 weeks. We remain on track to report data from this multi-dose cohort with extended follow-up, along with single-dose data in the second quarter. 
 With multi-dosing, we are looking for durable mutant HTT knockdown of at least 30%, with preservation of the wild-type protein. We will also be looking at safety and tolerability, including brain imaging. In particular, we will be monitoring for signs of ventricular enlargement, which have been identified both with PAM-silencing molecules in transgenic HD mouse models and on HD clinical trials of PAM-silencing therapeutics, such as branaplam, an orally administered small molecule; and tominersen, an IV administered antisense oligo, with additional SAEs of hydrocephalus reported in that program. 
 If WVE-003 avoids such ventricular enlargement, it will be an important differentiator and clearly support the benefit of a wild-type sparing approach. Altogether, these upcoming data will form the basis for decision-making for advancement of our program, including supporting an opt-in package for Takeda. We are actively planning for the next step, but that pending positive data would enable efficient and accelerated path to bring WVE-003 to patients. 
 In the HD community, we've seen growing support for short term, more efficient development paths to registration and novel biomarkers such as imaging. Specifically, the use of MRI imaging for caudate volume loss has recently been shown to correlate well with clinical outcomes in work conducted by IXICO on behalf of the Huntington's Disease Image Harmonization Consortium, which were founded last year to conduct an unprecedented harmonization analysis of more than 6,000 participant visit MRI images acquired over 2,000 research participants. 
 These markets are sensitive enough to enable highly efficient studies to allow us to establish the biological possibility of the benefit of mutant huntingtin knockdown with wild-type sparing. Here, we can link confirmatory studies more in the range of 80 patient treatment arms. We've seen examples of imaging biomarkers used for accelerated approval in therapeutic areas, such as multiple sclerosis. We look forward to delivering our HD data this quarter. 
 With that, I'd like to turn the call to our CFO, Kyle Moran, to provide an update on our financials. 
Kyle Moran: Thanks, Anne-Marie. We recognized revenue of $12.5 million in the first quarter of 2024 as compared to $12.9 million in the prior year quarter. This slight decrease was a result of lower revenue from our Takeda collaboration. Revenue from the GSK collaboration was relatively consistent in the current and prior year quarters. 
 Research and development expenses were $33.4 million for the first quarter 2024 as compared to $31 million in the prior year quarter. Increased spending for our clinical programs as well as our INHBE program was the driver behind this increase, and was slightly offset by the decrease in spending in our discontinued WVE-004 program. 
 Our G&A expenses were $13.5 million in the first quarter of 2024 as compared to $12.2 million in the prior year quarter. This increase was primarily driven by professional fees and other external expenses. As a result, our net loss was $31.6 million in the first quarter as compared to $27.4 million in the prior year. 
 We ended the first quarter with $180.9 million in cash and cash equivalents. Subsequent to the end of the quarter, GSK selected their first 2 programs to advance the development candidates following target validation, triggering a $12 million payment to Wave, which is not included in our Q1 cash balance. 
 We expect our current cash and cash equivalents will be sufficient to fund operations into the fourth quarter of 2025. As a reminder, we do not include any future milestone or opt-in payments under our DSK or Takeda collaboration in our cash runway, but we do have the potential to receive meaningful near-term milestone payments this year and beyond. Notably, over the past 12 months, we've achieved milestones representing $39 million in nondilutive cash from these collaborations. 
 I'll now turn the call back over to Paul for closing remarks. 
Paul Bolno: Thank you, Kyle. With INHBE rapidly advancing toward the clinic and meaningful data updates for all 3 of our clinical programs expected this year, we are well positioned to deliver program and platform value. Positive clinical data would validate our best-in-class editing, splicing and silencing capabilities and would serve to unlock our robust preclinical pipeline. 
 Taking a look at our upcoming milestones, we plan to deliver the first-ever clinical proof-of-mechanism data for RNA editing with WVE-006 this year and share new preclinical data on our advancing RNA editing programs; submit CTA for our INHBE siRNA obesity program as early as the end of this year and initiate a clinical trial in the first quarter of 2025; deliver data, including dystrophin protein from our potentially registrational FORWARD-53 clinical trial in the third quarter; and deliver HD data from the multi-dose SELECT-HD trial with extended follow-up, along with all single-dose data in the second quarter. 
 We look forward to sharing our progress with you along the way as we reimagine what's possible for patients and continue on our journey towards building a leading RNA medicines company. 
 With that, I'll turn over the call to the operator for Q&A. Operator? 
Operator: [Operator Instructions] Our first question comes from Salim Syed with Mizuho. 
Salim Syed: Congrats on the progress, guys. Paul, a few from me, if I can. For Dr. Ingelsson, can you just remind us, just given all the prior relationship with GSK, what data did he have access to that perhaps wasn't in the public domain that you could have potentially used in his decision-making to join Wave? So that's question number one. 
 Question number two on DMD. If you could just remind us if there's any -- just given -- I don't know -- I don't think you guys have access to open label, but is there anything you can do in terms of patient identification or site prep or other exons of interest? How you're prioritizing that? And the third like -- can you do anything in advance of actually getting the data there to expand into other exons quickly? And then the last one just on Huntington's. Can you just help us, is it May or June, just given we're in the second quarter? And do you guys have access to any blinded safety data or the ventricular enlargement data? 
Paul Bolno: Thanks, Salim. Why don't we work from back to front. So I think pretty quickly on the last one. I can't provide any other information other than we'll have data this quarter. I can say at this point -- and we are not in the possession of any data on the readout. So that's about as much as I could say about HD. But we're in the quarter and we are on track for delivering that data. 
 Appreciate the question on DMD. As you know, we have done extensive work across other exons. We have now, across the 4 additional exons that expand that population, shown as good if not better dystrophin protein from these other exons. And the work is underway internally to assure that following -- and we have data, following the dystrophin data readout that will be poised to advance and actually accelerate those other exons. 
 Acceleration comes in two paths. One, as you pointed out, we've identified and, as you're well aware, we can work with leading experts at our various sites, including additional sites, and have been able to start identifying sites that have patients and their proportion of patients with the other exons. And I think that's definitely helpful work to be able to bring forward these other programs extraordinarily rapidly since -- it's not only the sites, but having identified sites with patients. 
 We are poised to also, as we think about the development plan, not just think about how to quickly bring them into the clinic, but actually reimagine an umbrella study that has at its core the confirmatory study for N531 if that data is positive. So bringing that to a potential full approval. But also thinking about that study with a common placebo arm as the basis for the umbrella for the other exon. 
 So doing both the umbrella registration to bring multiple programs forward, but also rapidly identifying those for the expediency to assure that we have patients for those other studies. And that data looks extraordinarily promising for patients who have not been on other studies and are available for the other exons that we want to explore. 
 As to your first question, we are excited to work with Erik. Erik has been engaged in the collaboration for a very long time at GSK. He was involved from the early time of initiation of the collaboration. And it really came from his role of SVP of Genomic Medicine at GSK. 
 So if we think about a lot of what we've been saying on calls for a while now, thinking about how to translate big genetic insights into medicine and GSK's investment in '23 in the UK Biobank and really building out a robust genetic medicine target discovery organization and thinking about how Wave played a role in translating those genetic insights into medicines, such as most recent update on 2 programs transitioning, so we're well underway in that collaboration. 
 I think it's safe to say that Erik brings, one, a robust understanding of our capability set; but two, is we're excited to have Erik inside Wave to be a real partner with our team as we think about the expertise we've built in RNA editing and upregulation and correction, in siRNA and silencing and splicing, and are really poised to translate those insights, one, with INHBE. And Erik, coming -- before GSK was Professor of Medicine at Stanford with a particular focus in metabolic diseases, including obesity. 
 So he brings a lot of expertise from where we currently are. But importantly, I think really brings the lens of helping us continue to build a sustainable portfolio of high-impact medicine. So I think he brings both what he's seen inside GSK, but we're really excited for him to work with us on the targets that we've seen and identified that are unique and high impact and help us rapidly translate those medicines into the [ company ]. 
Operator: Our next question comes from Joon Lee with Truist. 
Joon Lee: Congrats on the great additions to the team, looking forward to talking to him in the future. Regarding alpha-1 antitrypsin program, are you able to share what you saw in the RestorAATion-1 that triggered the advancement to RestorAATion-2? Were there any specific bogeys that you were looking to hit in healthy volunteers before you advance to the patients? And for the forthcoming RestorAATion-2, what would be considered a success and good enough for GSK to take it forward? And I have a quick follow-up. 
Paul Bolno: Thanks, Joon. And I appreciate the congrats on Erik, and we will definitely be connecting him with all of you in the coming weeks. Secondly, on the transition for AATD from RestorAATion-1 to 2, as we said at the very beginning, the design of RestorAATion-1 really accomplish two important features to transition to RestorAATion-2. And that's namely safety, which continues to progress well; and secondly, PK transition. 
 As you know from our preclinical models, we've established in the SERPINA1 model the ability to see substantial levels of protein. So we can characterize that in the preclinical model. Just for a basis, in the mouse preclinical model, those doses that we were seeing substantial levels of protein are a human equivalent dose of less than 1 milligram per kilogram, [ 0.75 ]. So if we think about that, a lot of our modeling went into establishing that first dose, as we said, to be a dose that we would anticipate engaging target and then continuing to build both dose and dose frequency to be big drivers for the RestorAATion-2. 
 To your last question on thinking about what success looks like in RestorAATion-2 for GSK. The key for us there is to establish in this study, the dose and dose frequency with which to bring forward, obviously, a potentially registrational study. So as we think about this design, there's a combination of not just looking at protein levels but really looking at protein levels to -- and I think this is important as we think about the expansion beyond alpha-1 antitrypsin to our other GalNAc-conjugated RNA editing program, establishing that translation from prediction from animal models to humans, which for GalNAc and siRNA space is pretty well established. 
 So I think it will do two things. One, for AATD, establishing a dose of frequency with which to move forward. I will say this is not an opt-in agreement. GSK has a license, so this transition is not as if there's a pause there. But importantly, and I think this is critical for Wave as we shared earlier,  we have 4 other GalNAc-conjugated AIMers that we've generated data on. What we want to establish is that paradigm for preclinical, the clinical translation, and this study is poised to do that. 
Joon Lee: Great. Looking forward to the update there. And regarding the additional preclinical data, the head-to-head trial against -- not trial, study against semaglutide in mouse model, as you mentioned, is this something that we can expect at a medical conference? Or would it be something that you would share during a subsequent earnings call? 
Paul Bolno: Thank you, and thank you for recognizing that. So before we had done a lot of comparable work, so it's nice to have an ongoing head-to-head study with GLP-1. So we are comfortable on weight loss similar to sema. That's an important update. And additionally -- and I think we've talked a lot about what we see as one of the advantages as part of a maintenance therapy regimen, which is this question of prior basal mechanism, we were surmising that you could blunt that rebound weight gain. Obviously, now we have data to demonstrate that, and we're seeing that. This is an ongoing study, and we do plan to share data, as you said, at upcoming meetings later this year. 
Operator: Our next question comes from Steve Seedhouse with Raymond James. 
Nicholas Econom: This is Nick on for Steve. From the ClinicalTrials.gov entry for RestorAATion-2, it looks like the eligibility criteria involves some quantification of lung disease by spirometry and liver disease by FibroScan. We were just wondering if you plan to measure those changes from baseline FEV and liver stiffness throughout the duration of RestorAATion-2? And if so, do you plan to share those data in your first update? 
Paul Bolno: Thanks, Nick. Anne-Marie, would you like to take that question? 
Anne-Marie Li-Kwai-Cheung: Sure. Yes, we will be measuring these kinds of outcomes in the study. But for the duration of the study and the fact that these patients actually have very limited disease enrollment, you wouldn't expect to see much change over the course of the study. 
Nicholas Econom: Okay. And just as a quick follow-up. Just thinking about the nonhuman primate PK results for N531 that were shared at MDA, you have exposures reaching about 60-microgram per gram, it looks like the equivalent human dose and cardiac issues. Can you comment on the implications of cardiotoxicity with your PN chemistry? And secondarily, does this exposure profile make you inclined to pursue development in cardiovascular diseases? 
Paul Bolno: Yes. And one -- I appreciate the question. So we've done exposure. Obviously, we've done a substantial amount of work in PN chemistry in multiple areas, whether that's in CNS and systemic. Obviously, safety has allowed us to continue to progress and we don't see the -- PN [ again ], itself is a neutral charge causing cardiovascular disease. But it does, as you point out, give us good exposure and, in this case, putting functional protein restoration in those potential tissues. 
 So we do see that as a substantial advantage in DMD, where we know, particularly in the later stages, cardiomyopathy becomes an issue. So again, restoring dystrophin protein, functional dystrophin protein, not micro or mini dystrophin protein early, is an important component. So as you saw with 53% skip transcript in the skeletal muscle, that gives us a high degree of confidence based on the preclinical data. And we're seeing substantially more, not just in heart, but also in diaphragm. 
 Interesting question, as you pointed out, as we think about other applications. So when we do think about particularly in the area of editing and upregulation, there are opportunities for us to be thinking about these other target tissues for a variety of treatments. So we look at this data as early supporting, obviously, the DMD and splicing, but the opportunity -- and with Erik coming on board bringing his experience, we are thinking more broadly about what potential tissues would be in play and how would we think about the diseases in those areas. 
Anne-Marie Li-Kwai-Cheung: Paul, can I just add. I just wanted to confirm, we've never seen any data in tox that would indicate there's a cardiac tox issue. So these concentrations in the heart are all upside for us. 
Operator: Our next question comes from Ananda Ghosh with H.C. Wainwright. 
Ananda Ghosh: Thanks for the update. I have 2 questions on the INHBE program. The first question is, there was a report in PNS, I think, Regeneron published which mentioned that maybe beta E is linked to energy expenditure and improved insulin resistance. So are there data that kind of -- that you guys tested, these aspects in your animal model? And the second question is how much of innovation might be required to see a translation? And like how are you thinking about dosing, PK, et cetera, as you think about developing the programs? 
Paul Bolno: No, it's a great question. Thank you. I'll take the last one first. If we think about demonstration of loss of function driving disease in publications, these are heterozygous carriers, so 50%. There's been data suggesting like even 40% or lower you see improvements. We've surpassed that, When we had our R&D Day, where we provided the update on both the target -- and our first generation is a while ago construct, not even the candidate, we had already surpassed 50% silencing and demonstrated that, that had a meaningful effect on phenotype. 
 So we surpassed that. We continue to do that, as we said, with our clinical candidate now. We're in an ED50 of less than 1 milligram per kilogram. That looks improved over what the existing siRNAs are currently in the market. So we've got better potency, which is consistent with our NAR paper where we published in our siRNA format. So we see better potency against best-in-class siRNA and we see better durability, which is an important feature in this than the current best-in-class siRNA. 
 So we put those features together based on our candidate and data, we have substantial knockdown that achieved what's been seen in humans and a durability profile now that not only looks -- the potential for twice a year, but once a year. So we think that, that sets ourselves up very nicely. 
 To your point on improved insulin resistance, I mean, that has translated in humans, where there's an improvement and an outcome benefit in type 2 diabetes. That's been seen in both the Regeneron publication, on the UK Biobank data and [indiscernible]. So we do know that looking at the human data set for INHBE, that there is this advantage in improving type 2 diabetes as a function of improved insulin resistance. 
 We've not currently looked at that. We've been focused on measurements that relate to weight, fat and muscle. But obviously, as we continue to build the preclinical package, I think we have multiple opportunities to really think well beyond obesity as a fat loss. And I think you bring up an important point. We need to look at obesity as a public health challenge, one that has cardiovascular implications and INHBE. Humans that have a reduction of INHBE have low triglycerides, low LDL, high HDL and they have this improvement in [indiscernible] resistance. So as we think about the totality of actually treating a substantial population with metabolic syndrome, I think the opportunity for this program extends well beyond just fat loss. 
Operator: We'll take our last question from Joseph Schwartz of Leerink Partners. . 
Jenny Leigh Gonzalez-Armenta: This is Jenny on for Joe. We were just wondering if you could give us any insight into GSK's process for choosing their 2 recent programs? Do they see any data? And how are they defining target validation? 
Paul Bolno: Thank you. I mean there's not a lot I can share, unfortunately, around what's under their tent, but I can walk through the process and I think that would be helpful. So if you imagine, they have invested in these genetic activities, that's given them targets, and so if we think about INHBE as a good surrogate, targets that have strong genetic differentiation and potential, we can say based on the selection, these were in hepatology. As we said publicly, we've got targets across therapeutic areas beyond hepatic and across modalities. 
 But in these cases, there's -- we generate programs that validate that target, that target biologically. And when that target's achieved, the threshold that we prove that concept, right, we've demonstrated that by impacting that target, we're recapitulating some biology that, that triggers, at their discretion, the ability to move that program into their pipeline. So that triggers the program nomination that takes away from those key opportunities that they have. And so all I can say is we've met that validation criteria on that translation. 
 And the key now is really thinking about these as therapeutics that drive towards the clinic. So if we think about therapeutics -- and this is across modalities we're doing this work. And so there's a lot of ongoing work that I think, holistically, we really benefit from. So if you think about why we did this part of the collaboration, there's a lot of research and discovery efforts that we're doing across these various targets that are informing us in our strategy as we think about the pipeline creation at Wave. 
Operator: I'm not showing any further questions at this time. I'd like to turn the call back over to Paul for any closing remarks. 
Paul Bolno: Thank you, operator. Thank you all for joining the call this morning. We're excited to see many of you in New York at the RBC Conference next week, and we look forward to keeping you all updated on our progress. Have a great day. 
Operator: Ladies and gentlemen, this does conclude today's presentation. You may now disconnect, and have a wonderful day.